Operator: Good day, ladies and gentlemen, and welcome to the UGI and AmeriGas First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Hugh Gallagher, Treasurer of UGI.
Hugh Gallagher: Thank you, and good afternoon and thank you for joining us. As we begin, let me remind you that our comments today will include certain forward-looking statements, which management of UGI and AmeriGas believe to be reasonable as of today’s date only. Actual results may differ significantly because of risks and uncertainties that are difficult to predict and many of which are beyond management’s control. You should read our annual reports on Form 10-K for a more extensive list of factors that could affect results, but among them are: adverse weather conditions; cost volatility and availability of all energy products; increased customer conservation measures; the impact of pending and future legal proceedings; domestic and international political, regulatory and economic conditions; currency exchange rate fluctuations; the timing of development of Marcellus Shale gas production; the timing and success of our commercial initiatives and investments to grow our businesses; and our ability to successfully integrate acquired businesses including Heritage Propane and achieve anticipated synergies. UGI and AmeriGas undertake no obligation to release revisions to their forward-looking statements to reflect events or circumstances occurring after today. In addition, our remarks today will reference certain non-GAAP financial measures that management believes provide useful information to investors to more effectively evaluate the year-over-year results of operations of the companies. These non-GAAP financial measures are not comparable to measures used by other companies and should be considered in conjunction with performance measures such as cash flow from operating activities. With me today are John Walsh, President and COO of UGI Corporation; Gene Bissell, President and CEO of AmeriGas, and your host, Chairman and CEO of UGI Corporation, Lon Greenberg. Lon?
Lon Greenberg: Thanks, Hugh. Let me also welcome everybody to our call. I’m sure you’ve had the opportunity to review our press releases reporting our first quarter results. As you know, we reported earnings per share of $0.77 versus $1.01 last year. AmeriGas reported net income attributable to AmeriGas Partners of $42.5 million compared to $74.9 million last year on EBITDA of $83.7 million compared to $113 million last year. I must say that this has been one of the more frustrating quarters I’ve encountered during my many years as UGI’s CEO. Surely we have encountered periods of warm weather in the past as many of you know, but I must say they’ve never been as uniformly extraordinary as this. For example, weather in our French liquid petroleum gas operation was nearly 30% warmer than the prior year. Weather in our utility operations was nearly 19% warmer than the prior year. Weather in our domestic propane operation AmeriGas was nearly 10% warmer than the prior year. So, whether you were in Philadelphia, Paris, Vienna, Chicago, Atlanta, you experienced very little winter weather this year and that lack of winter weather also adversely affected our Midstream & Marketing business, which, as you know, not only sells gas and electricity on a non-regulated basis, but it also owns and manages assets, which prosper when cold temperatures create volatility in commodity markets. However, as is often the case, there are occasions when headline earnings numbers mask important positive trends and developments and this certainly is one of those cases. You’ll note that our margins in our domestic and International Propane businesses were managed quite effectively despite a high cost environment. While it’s less visible to you, we note in our release that our customer growth in our Gas Utility businesses was robust due to record conversions from oil to gas. Our Midstream & Marketing businesses began operations on our Auburn pipeline project and also announced $150 million expansion of that project to extend the line south. Our International Propane businesses completed the acquisition of Shells’ liquefied petroleum gas distribution businesses in the UK, Scandinavia and the Benelux countries and our results this quarter reflect a contribution from that acquisition despite incurring integration costs. And finally, AmeriGas closed a few weeks ago the Heritage transaction, which we have great hopes for. So, while we were disappointed that our substantial progress cannot be seen in our earnings this quarter, I certainly prefer it this way compared to reporting a quarter of great earnings, perhaps even record earnings along with a much less promising future. We’ve experienced in the past occasions, and fortunately they’ve been far apart, when weather or some other abnormal market circumstance causes a short-term interruption in our steady progress. On these occasions, like today, our fundamentals were strong, our execution solid and our opportunities plentiful. And so you are going to hear from us today that we are confident that, like on those other few occasions, we will demonstrate the strength of our businesses and strategies when conditions return to more normal levels. I’ll have more to add on this later in the call, but at this point I’d like to turn it over to Hugh and John and then Gene for some comments as well. So, Hugh?
Hugh Gallagher: Okay. Thanks, Lon. As Lon mentioned in his remarks, the overarching theme for this quarter was a lack of demand for all energy products resulting from the extraordinarily warm weather we encountered in each of our business units. There are two themes that we often repeat when discussing our business with investors. First is if you watched the weather during the heating season and you evaluate historical trends in our business units, you will have a sense of how our businesses will perform given variations in weather and second, that we believe in diversification as a means of reducing risk and that geographic diversification reduces weather-related risk. For the first quarter of fiscal 2012, this first statement clearly held true, but, unfortunately, geographic diversification did not do its job and we experienced weather that was incredibly warm everywhere we operated. AmeriGas experienced the warmest first quarter weather in the last 10 years. Weather for the quarter was approximately 12% warmer than normal, 10% warmer than last year. During the critical heating season – heating month of December, weather was 16% warmer this year than it was last year. As a result, volumes sold declined nearly 14% year-over-year, the primary contributor to the $8.5 million decrease in net income contribution from AmeriGas. Operating expenses increased modestly at AmeriGas due to the $3.7 million in cost incurred during the quarter related to the Heritage acquisition. International Propane’s contribution to net income also decreased due to significantly warmer weather in our legacy businesses at Antargaz and Flaga. In France, weather was 30% warmer than last year resulting in a 20% decline in volumes year-over-year. Flaga’s weather was about 12% warmer than normal resulting in 11% decrease in volumes sold. It’s important to note, however, that this weather related volume decrease was offset by the benefit from the investment we made in the Shell Acquisition, which contributed 48 million retail gallons and $34 million of incremental total margin. Operating expenses also increased over last year due to costs associated with the acquired businesses and acquisition integration costs. These integration costs were about $3.6 million during the current year quarter compared to about $1.2 million in the prior-year period. Just as any prudent investor would, we read the papers and see the economic news coming out of Europe these days. We have the benefit, however, of frequent interaction with our managers and employees on the ground in Europe, which enables us to get beyond the headlines, if you will, in Europe. Thus far we’ve not seen any significant economic impact on our businesses in Europe. We provide energy solutions to thousands of homes and small businesses across Europe, a large number of small transactions spread across a large customer base. For the vast majority of these European consumers, our product is not a discretionary purchase, but a basic need for space heating, agricultural, industrial processes, cooking or auto fuel. And now switching back to this side of the pond, our Gas Utility’s contribution to net income decreased $8.1 million, again, on weather that was 12% warmer than normal and nearly 19% warmer than last year. The warmer weather resulted in a decrease in throughput to our core market customers of 5.3 Bcf. This is about 14% below the prior year and you may recall that Gas Utility had a very strong quarter last year on weather that averaged about 8% colder than normal. Midstream & Marketing’s net income also decreased as the benefits of increased natural gas storage income were more than offset by lower earnings from natural gas marketing, electric generation and capacity management activities. Turning to cash and liquidity, our balance sheet is strong despite the near term weather challenges and we remain committed to maintaining a strong balance sheet as a means to support our business initiatives. Our consolidated cash position, excluding restricted cash, was approximately $229 million at December 31, compared with $139 million in the prior year. The current year cash balance was higher than last year primarily due to increased balances in our International Propane businesses, including balances related to the recently completed acquisitions and the timing of borrowings and repayments under AmeriGas’ credit facility. At December 31, AmeriGas had outstanding borrowings of $226 million and outstanding letters of credit of $36 million on its $325 million revolving credit facility, but it also had a significant balance of cash on hand such that on January 3 AmeriGas repaid approximately $47 million of its revolver borrowings. Utilities had $58 million outstanding on its $300 million revolver and $4 million of cash on hand at December 31. Turning to the International Propane segment, at Antargaz there were no borrowings on it €40 million revolver and €29 million of cash on hand. Flaga had approximately €14 million of borrowings and €20 million in outstanding guarantees on its two primary revolving credit facilities. These facilities have a combined capacity of €58 million. Flaga also had €32 million of cash on hand, including €19 million from a financing that closed on December 30. Avantigas, our propane operation in the UK, had cash on hand of approximately £12 million. The Midstream & Marketing business had outstanding balances of $33 million under its accounts receivable facility and $85 million on its revolving credit facility. Excluding cash held by the operating subsidiaries, UGI had $45 million of cash available at December 31 compared with $71 million at December 31, 2010. This balance is slightly lower than the previous year as a result of the funding of the cash portion of the Shell Acquisition. Financing activities during the quarter included the previously mentioned placement of a term loan, €19 million term loan for five years at Flaga. This was primarily related to the Shell Acquisition and the proceeds from this loan were used in January to repay short-term borrowings and for general corporate purposes. Flaga entered into an interest rates swap that effectively fixes the EURIBOR component of this term loan resulting in a rate of about 3.5% at the end of December. Total long-term debt at December 31 was virtually unchanged from the prior year as increases at AmeriGas and to a lesser extent at Flaga was offset by the currency exchange impact of lower exchange rates on euro denominated debt at Flaga and Antargaz. Current maturities of long-term debt at December 31, 2011, were approximately $47 million primarily due to maturing medium term notes in our Utility business. Last year at this time we had nearly $550 million in current maturities of debt as well as revolving credit facilities to refinance at Antargaz, Flaga, Utilities and AmeriGas. So, from a financing standpoint, we have no significant maturities over the next 12 months and we are very comfortable that we have adequate liquidity in all of our business units and sufficient capacity to support our growth initiatives for the foreseeable future. And finally, the most significant news occurred shortly after the quarter end when AmeriGas issued $1.55 billion in senior notes in conjunction with the closing of the Heritage Propane acquisition. AmeriGas also amended its revolving credit agreement in conjunction with the acquisition, increasing the size of the facility to $525 million, extending its term one additional year to October 2016 and modifying certain other provisions of the facility in relation to the acquisition. Now, I’ll turn it over John for his report on operations, John?
John Walsh: Thanks, Hugh. While the unprecedented warm weather in each of our businesses had a significant impact on our financial performance in the quarter, we remain focused on driving progress on the critical strategic initiatives that will determine the future of the company. On the operational side, our teams took the necessary steps to manage cost as we responded to reduced demand from our weather sensitive segments. I’ll comment on both the operational and strategic activities in the quarter since there were significant developments in both areas. Our core businesses, in addition to responding to the warm weather challenge, continue to press forward with their growth plans and key operational initiatives. Our Gas Utility built on the growth momentum for conversions established over the past few years. The natural gas versus fuel oil spread remains wide and our marketing team has done an exceptional job reaching potential customers situated very close to our mains. We achieved a record level of conversions and upgrades in Q1, which ran 50% above the same quarter last year. This more than offset the continued weakness in new home developments. Our commercial segment also remains strong with customer additions running about 20% above prior year. Our Midstream & Marketing business, in addition to pursing new projects, has been very active utilizing our existing assets in the Marcellus region. We added compression on the Auburn Gathering System that was activated late last year and initiated several projects to enhance the utility of our gas storage field. While there has been considerable near term uncertainty in the natural gas market due to low commodity cost and dampened volatility, we still see major opportunities for growth across this business. There are segments of our business such as power generation and asset management that have been negatively impacted in the short term, but we also see these lower gas costs opening up new growth opportunities within our gas utility and gas marketing segments. In addition to this enhanced customer demand, we see the significant need for new infrastructure such as the new gathering system and gas storage field enhancements in the Marcellus region as producers attempt to deliver their output to the key East Coast markets. I started my comments with a reference to driving progress on the critical strategic initiatives that will shape our future. We’ve moved from the planning stage to the execution stage on several of these programs, which is an exciting development for us. We’re very pleased with the progress made on the integration plan for the propane operations acquired from Shell in eight European countries covering the Benelux and Nordic regions as well as the UK. These operations feature a loyal customer base, quality assets in markets adjacent to our own and a talented team at all levels. We’re executing the necessary back office and field based projects to ensure that we hit the transition targets included in our investment case. Weather adjusted demand in the 16 countries where we operate in Europe has shown strength with the customer segments we serve holding up well. Based on the progress made on the integration in Q1 and the solid customer demand, we’re very positive about the prospects for our European business as we move into 2013. While AmeriGas’s acquisition of Heritage Propane didn’t close until the second week of January, we focused a tremendous amount of effort in Q1 on developing the integration plan and preparing for rapid implementation. The combined Heritage-AmeriGas team is making great progress and we’re confident that we will achieve the operational, service and growth performance that was envisioned in the business case for the investment. Much of our capital project work is focused on our Marcellus Shale projects. In addition to the current capital projects I discussed earlier, we’re making good progress on our Auburn 2 project, which will extend that gathering system southward to connect with the Transco Pipeline. We are in the permitting and land acquisition phase at present with a significant portion of the capacity subscribed. The pipeline installation work is targeted for 2013. We’re nearing completion of the $120 million expansion of our LNG peaking facility in Temple, Pennsylvania. We’ve achieved mechanical completion and we’re proceeding through the commissioning phase. The plant will be fully available for the winter of 2012-2013 peaking season. We’ve begun the marketing effort in support for the upcoming open season for our 15 Bcf natural gas storage facility in central Pennsylvania. As noted earlier, our Midstream team is undertaking a series of capital projects to enhance performance of the field. Our open season will conclude in April. In summary, the significant progress we’re making on the two major propane integrations, our continued strong growth in Utilities and the acceleration of our Marcellus development places us in an excellent position for 2013 and beyond. I now like to turn it over to Gene who will take you through the AmeriGas performance in Q1. Gene?
Eugene Bissell: Thanks, John. EBITDA for the first quarter was down significantly due to weather that was about 10% warmer than last year and about 12% warmer than normal. Of course most of the degree days during the quarter occur in December and December was 16% warmer than last year. This was the warmest weather we’ve experienced in the first quarter since the October to December quarter in 2001. And when the weather is this warm, the degree day comparison understates the impact because many of our customers simply don’t have to use their heaters at all. Now fortunately this type of significantly warmer than normal weather only occurs very sporadically, the last time being nearly six years ago when our volume for the second quarter of 2006 dropped about 10% year-over-year on weather that was about 7% warmer than the prior year. As a result of last quarter’s warm weather, our volume was down nearly 14% from last year. The only benefit of the warm weather is that lower demand is beginning to result in lower wholesale propane prices. Now for the quarter the average price at Mont Belvieu averaged $1.44 or about 14% higher than last year. Since we entered January, however, propane prices have been falling. The current price at Mont Belvieu is $1.27, down 12% from last quarter and down from $1.35 last year at this time. These lower prices will bring welcome relief to our customers. Expenses for the quarter were flat to last year, excluding about $3.7 million in expenses related to the Heritage acquisition and our vehicle fuel expense increased due to higher diesel and gasoline prices, but that was offset by lower salary and overtime expense. We can’t control the weather, but we do have a good track record of responding to lower than expected volume by dialing back on our expenses, and that will certainly be the case for the balance of this year. Of course, the big news for AmeriGas was the closing of Heritage acquisition on January 12. I want to welcome the Heritage employees to the AmeriGas family and reiterate that we believe we can combine these two great companies in a way that will result in a new AmeriGas that is far more than the sum of its parts. While the deal just closed we’ve been actively planning for the integration with Heritage management for about three months. We have a total of 30 top employees from the two companies working on 13 teams to put together detailed plans for every aspect of the integration. We will not be making many changes until spring so that we don’t disrupt operations during the heating season, but we will be ready starting in March to implement our plans to achieve the significant synergies associated with this deal. From the detail planning that we’ve done so far, we’re even more confident of our ability to deliver on the minimum level of $15 million in synergies that we used in valuing the business. In terms of our other growth strategies, ACE had a strong quarter with volumes up 8% from the same quarter last year due primarily to adding new locations. Of course this isn’t a key quarter for the cylinder exchange business, but we’re glad to be starting the year with such strong results. National Accounts also added quite a few customers but due to the weather volume was off about 7%. While most of the attention of our corporate development team was on Heritage, we have closed four small acquisitions so far this year and we have a number of smaller deals in negotiation. Now, since this is my last call with all of you prior to my retirement, I wanted to express my thanks for your attention that you paid to the company over my years as CEO and for your great questions and comments. Now, for someone who started at UGI as a management trainee in 1981 serving as CEO for almost 12 years has been a dream come true. I’m proud of what the company accomplished during my tenure from 2001 to 2011; we achieved a compound average return to our unit holders of over 15%. I want to finish by thanking Lon and John for giving me this opportunity and I’d also like to thank the AmeriGas leadership team and our front line employees for all they’ve contributed to our success. I also want to express my confidence in Jerry Sheridan, who will be stepping into the CEO role when I retire. I’ve had the opportunity to work closely with Jerry over the last six years and recommended him as my replacement. As CFO and during the last year as Chief Operating Officer, Jerry has been my partner in managing the company and I’ve had the opportunity to observe his considerable talents, integrity and dedication to our business. I’m also thrilled to have Paul Grady rejoining AmeriGas. Until a few weeks ago, Paul was President of Heritage and he will become Chief Operating Officer of AmeriGas when I retire. As many of you know, Paul worked at AmeriGas and UGI for 14 years and was Chief Operating Officer of AmeriGas for four of those years. During his tenure at AmeriGas, Paul and I spent a great deal of time together in the trenches where I came to have a great deal of respect for his natural leadership ability and deep understanding of our business and our industry. Given his background, there is no better person to make sure we create a new AmeriGas that leverages the strengths of both companies. Now, I’d like to turn the call back to Lon for some concluding remarks.
Lon Greenberg: Thank you, Gene. Let me leave all of you with the following thoughts. As we note in our release, we’ll be updating guidance next quarter when we will have experienced the remainder of the winter weather and we can give you better information regarding our expectations for the level of integration costs we’ll incur this year related to the Heritage and Shell transactions. In this regard, Hugh mentioned that we had some relatively modest transition costs in this past quarter. There is nothing nefarious in our not giving you an update on guidance at this point – seeing that weather has a major effect on our business we’re in the middle of the winter. And so it doesn’t make sense to us to try predict what will happen over the course of the next three months worth of weather as we move forward. And we’ve just closed the acquisition of Heritage and that closed somewhat sooner than we expected and so we’ll have an opportunity to get a better feel for the integration costs we’ll be able to put into this year as we move forward throughout the year. As I’m sure all of you are aware, winter weather during January has continued to be warmer than last year and normal, but hope lives on and we’re looking forward to a colder February and March and for that matter April as the year goes on. I also want to remind you that we previously indicated that integration costs to be incurred this year for the Heritage and Shell transactions will be significant. At the same time these transactions will contribute in a significant way next year to improve year-over-year performance. To reiterate what we’ve said earlier, we are focusing on those things we can control, capitalizing on internally generated and acquisition growth opportunities; we mentioned several of these during our call. As we complete the capital projects and effectively integrate the acquisitions, they will add to our earnings capacity, hence our optimism about the future. While unusual weather on occasion will affect our earnings of our existing businesses, additions to our businesses resulting from the capital projects and the acquisitions will produce good return on investments and associated incremental growth in earnings beyond our base businesses. We will in the near future make an effort to define more clearly to you the earnings opportunity that we see over the next few years as these internally generated capital projects come on stream and as we integrate the acquisitions. I also want to note that we’re not slowing down in our efforts to uncover additional growth opportunities. We have the capacity both from a financial standpoint, as Hugh said, and from a human resource perspective to pursue and complete good return projects. Energy markets are undergoing change and those changes are resulting in other companies evaluating their strategies and priorities. Changing markets and priorities have always created excellent opportunities for us in all of our business units and we don’t expect the current environment to be an exception to that rule. Of course, we will be selective as we’ve always been and will be disciplined as we evaluate opportunities both internally as well as acquisition opportunities. Thus I look forward to demonstrating to you the efficacy of our business model and the strength of our earnings capacity as we move through the rest of 2012 and into the future. So, thank you very much and Juvan we’re ready for questions at this point.
Operator: (Operator Instructions). Our first question comes from Carl Kirst with Bank of Montreal.
Carl Kirst – Bank of Montreal: Everybody.
Lon Greenberg: Hi, Carl.
Carl Kirst – Bank of Montreal: You know just to I mean certainly weather is weather and that is a tough quarter and no one is going to expect any kind of prediction sort of on a go-forward basis. So maybe we can kind of leave that to the side, but is it primarily that as far as giving – wanting to wait on giving guidance for the remainder of the year is that just you feel it’s too pretty mature to give expectations for integration costs? I just want to get a better sense of that because I think most people are probably putting weather into a box at least I hope they are.
Lon Greenberg: Yes, let me – as I said there is really no hidden motives in our not giving guidance. We have said, when we did the Heritage call, that we expected integration costs on the Heritage transaction to approximate $70 million over 18 months. We closed that acquisition earlier than we thought we would through some excellent effort across the board on both sides of that transaction and so we’re trying to re-calibrate the transaction costs and the integration costs we’ll incur and we will, Carl, make an effort to break those out so that people can see what those are and get a handle on what the business is doing independent of those costs as best we can do that. And then same goes for the Shell Acquisitions. We’ll try to break those out, Hugh mentioned there was about $3.6 million I think this year versus a modest amount last year integration costs in the European acquisitions and we’ll continue to try to break those out, so people get a feel for that. But I will tell you in all the years I’ve been doing this only once did we give guidance at the end of the first quarter, an update to guidance in the first quarter. And we did it because the environment was such that the weather was so cold and beneficial through January and margins were exploding in a way that we felt leaving people with the information they had at that time wouldn’t be the right course of action. Here you said people put the weather in a box, January has not been particularly good, it’s been somewhat better than December, for example, but it’s not been particularly good. And it’s just impossible for us given the nature of our businesses and the things that we can control to offset that to predict with any benefit for you where we might be. So, I could give you a very wide range, but I don’t know that that’s particularly helpful to you. So, what we’ve tried to do, and we’ll continue to try to do is talk to you about what’s happening in the business that sets the stage for when the environment, the weather environment returns to normal what’s our capacity to earn. So, the things like the Shell Acquisitions, which we expect to be nicely accretive next year, the Heritage transaction, which year-over-year is going to show great changes to results, the things that are going on in the Gas Utility with growth from conversions, all the things John mentioned with Energy Services and all of the businesses the good work we’re doing we should and will over the course of the next quarter make an effort to allow you to layer the improvement in earnings from those things given a normal environment. But we just don’t feel comfortable trying to guess the weather given where it is and predict the effect on the base business and our newly expanded business, frankly, with Heritage where we don’t have any experience estimating that and with Shell’s propane businesses where we don’t have the same level of experience, and hazard a guess on it, the range would be so wide as to not be useful to you.
Carl Kirst – Bank of Montreal: I understand. I appreciate the color. Maybe if I could just sort of move into a micro question or few sort of related micro questions on International Propane and in part, given that we had the Shell addition to Flaga and that the actual weather experience was somewhat different between the two entities, I didn’t know if there was a split that we could look at between Antargaz and Flaga on a volume basis. And also looking at things on the retail gallons were given but I don’t know if the wholesale could be given as well since my understanding was Shell was kind of bringing in more of the wholesale gallons, but I may have that incorrect?
Lon Greenberg: You are correct on the wholesale side, Shell did what they referred to as unbranded volume. That doesn’t have a lot – I mean there are some of our competitors who spend time talking about it. But the margins on that – while it’s nice and it does have other supply benefits for us – the margins aren’t enough, Carl, that we would have your focus on that, I mean we’re happy to provide it, but I would tell you that wouldn’t be a big area of focus for us, it’s certainly not an area of focus internally. With regard to the acquisition, the Shell Acquisition, I can tell you it probably contributed this quarter upwards of a couple of pennies during the quarter and that includes a fair amount of integration cost that we had to offset that as well. It’s – if I were to give us a qualitative view, the process we’ve gone through since we’ve acquired it has gone well, integration is proceeding as well or even perhaps a little better than we expected. The earnings capacity of those businesses has somewhat – we’ve gone through with each of the managements of those units a thorough kind of what I’ll call budgeting kind of process although it’s not technically a budget. And the earnings capacity of those businesses we acquired is somewhat better than we built into our acquisition models as well. So, qualitatively, those are moving ahead very nicely. There was a modest contribution this quarter from those businesses and we’ll take your comments into consideration as we try to sort of provide some valuable information to you as we go forward this year.
Carl Kirst – Bank of Montreal: No, I appreciate that. And then maybe again one other micro on the Shell just because it was noted that I guess it comprised $48 million of the entire amount. I didn’t know just given the weather difference if you had sort of the same store sales from last year so we can get a better understanding of what maybe a weather normalized look like in total?
Lon Greenberg: Yes, that’s a hard one to do. I can tell you directionally Antargaz’s volumes were off 15% to 20%-ish year-over-year, isn’t that right?
John Walsh: No it’s 30%.
Lon Greenberg: The volume or weather?
John Walsh: Oh, I’m sorry the volume was 20%.
Lon Greenberg: Volume was off close to 20% at Antargaz and that’s a sort of the same store number, if you will, on 30% warmer weather. That’s – what we try to do, Carl, was give you the legacy businesses, kind of on that same-store sales basis. So, the Antargaz number, the 20% is Antargaz as it was configured last year and the Flaga number is also their legacy business the 11% volume decrease. We don’t have as much detailed information for the Shell Acquisition and I don’t know that there is weather sensitivity either I those businesses.
John Walsh: Yes, they’re commercial business.
Lon Greenberg: Yes.
John Walsh: Less slightly less – somewhat less weather sensitive.
Lon Greenberg: I want to emphasize, Carl, that John alluded to it and talked about it in his remarks as did Hugh. I know there is a lot of consternation generally in the U.S. every day we pick up the newspaper, we hear about economies in Europe. I would tell you that we aren’t seeing significant impacts from the economies of France or Austria or most of the countries we’re in, Switzerland, et cetera, the UK even, we’re not seeing that trickle into what as you described as purchasing a necessity to heat your houses when it’s cold enough to do so and for the small commercial businesses that use it that serve internal markets. We’re just not seeing significant effects in all the things we’re looking at in those businesses. So, the weather truly was the dominating factor that affected their results. I will point out expenses were managed pretty well over there and margins were managed very well over there. Last year, we had nice weather and a little bit more difficulty with margins this year, our folks did a very good job of staying on top of their margins and making sure that we were positioned properly had volumes showed up.
Carl Kirst – Bank of Montreal: Great, I very much appreciate the color and I’ll jump back in the queue. Thank you.
Lon Greenberg: Yes.
Operator: And our next question comes from Darren Horowitz with Raymond James.
Darren Horowitz – Raymond James: Congratulations, Gene, we wish you the best and look forward to working with Jerry and Paul going forward. I just have one question, in thinking about wholesale propane cost from a structural perspective and obviously this pertains to AmeriGas, but when you consider higher crude prices, low natural gas prices and the increased bid that propane is getting from pet-chem consumers and also for LPG export, are you concerned that on a relative basis higher wholesale propane cost continue and possibly continue to pressure retail margins?
Eugene Bissell: Well, thanks for your comments. First of all, I appreciate that. I would say we’re seeing propane relative to the price of crude lower than it’s been recently. So, we’ve been running more in the 55% range where in the past it’s been up to 65%, 70%. So, the relative price of propane is reflecting I think the low level of demand for propane. I don’t think we’re going to see a big impact in terms of volume performance based on where our prices are relative to other commodities. I would love to see propane come down relative to electric prices so we were more competitive there and that certainly has been more of an issue than it was in the past. But we aren’t seeing any big impact from that.
Darren Horowitz – Raymond James: Hey, Gene, do you think that if propane price relative to crude remain cheap and propane as it relates to ethylene production continues to generate a pretty high double-digit margin in terms of cents per pound of ethylene produced, don’t you think that’s going to increase the bid for propane and the intrinsic value of propane is going to be worth more to a petrochemical consumer?
John Walsh: Yes, I think – it’s John – I think that’s more margin obviously some potential marginal increased demand, but I think the other factor certainly from our perspective that’s significant is as we see activity in Marcellus and the other liquid rich shale plays ramping up certainly there is an opportunity for us and an opportunity for the industry to benefit from that additional liquid coming to market and we see that happening in the Western elements of the Marcellus. There is opportunities for us to work with producers and find a home for that propane that’s coming off that natural gas production. So, we see a significant potential and likely expansion of supply of propane from natural gas streams over the next decade, which we think is going to be positive and positive for us means dampening and lowering the price of the commodity, and in particular it’s going to be – significant amount of that’s going to be in the Northeast U.S., which is fantastic from a propane supply standpoint.
Lon Greenberg: Yes, Darren, we have a little bit of insight into the chemical side of it with some of our Directors and it’s clear and you saw Shell is looking at putting some chemical plants – the chemical industry coming back to the U.S.. – there is a lot of discussion about that and using the liquids, but I dare say they wouldn’t be coming here if they thought the liquids would be more expensive here than it would be elsewhere. And I think we’re aligned with most of those chemical companies in viewing that the supply of liquids is going to exceed the demand nicely and that you will likely see a separation of – a continued separation, as Gene alluded to, of propane to crude oil and approaching more natural gas pricing, trying to get all the way there, but at 50% of crude it’s come a long way from the 80% and 90%, it used to trade at. And hence our base case, frankly, is that supply will outstrip demand and you’ll see propane prices more dropping relative closer to natural gas prices. And even in announcements like Chesapeake making that they’re slow in their natural gas drilling. They are slowing their dry natural gas drilling and focusing on the liquid rich areas that so many people have demand for. So, I think there is a lot of folks who are aligning around it. Yes, there is going to be more demand without question as you point out and propane will have an important role in the chemicals side. But given the prognostications of the amount of supply coming on we think net-net that we’re aligned with the chemicals and we see a lower environment here.
Darren Horowitz – Raymond James: Thanks, Lon, I appreciate the color.
Lon Greenberg: Yes.
Operator: Our next question comes from Ron Londe with Wells Fargo.
Ronald Londe – Wells Fargo: Yes, just talk a little bit about that subject again, you know it appears that we’re going to leave – we’re going to depart the winter of 2012 with an above average level of propane in inventory. Do you think that’s going to create opportunities for you to enhance margins in the fall of next year and what do you think about that scenario?
Lon Greenberg: It’s a hard question, Ron. Why don’t I give Gene a stab at it...
Eugene Bissell: My experience has been that no matter where you end up at the end of the season, by the time you get to the fall things have righted themselves in terms of inventory. So, I don’t know that at this point I could predict that we’re going to have a lot of excess inventory going into the fall. We’ll probably be in better shape than we were this year. If you remember, we went into the winter this year with about 5% less inventory than the prior year and the five-year average. So, next year perhaps going in at the average, but that’s pretty far ahead to predict inventory values.
Lon Greenberg: And I don’t think we are looking – I agree 100% with Gene, we have a saying around here, everybody panics at the beginning of the year there is not enough inventory and then you get to – in typical years, you get the January, February where we’re going to run out. And there is always enough we never run out and then everybody worries about the bill that somehow it shows up in Mont Belvieu. I think they must have some – another layer below it that they suck it up because it always ends up showing up. We’re not looking for a margin collapse and we’re not looking for a margin, substantial margin expansion. The best thing that could happen to this industry, Ron, is cost coming down and everyone trying to pass that relief onto their customers to – in this economy to lower the price, make this fuel more competitive with other fuels, as Gene alluded to, electricity and others, and right the industry in terms of growth opportunities for the long term as opposed to trying to capitalize on something that would last a few months or so and not have a real benefit to the industry longer term.
Ronald Londe – Wells Fargo: Our expectations would have been that operating expenses might have been a bit lower given the weather in the December and we’ve experienced some fairly warm weather in January. What’s your view about controlling operating expense going into the second quarter?
Eugene Bissell: We certainly have a big focus on that going forward, we’ve put together recovery plans. The challenge in propane business is the fact that you had a warm December doesn’t mean you’ll have a warm January or warm February. So, you can’t – there is limit to how much you can cut back on the expense short term. As you start to see the shape of the winter knowing you are coming out of the winter, there is a better opportunity to cut the expense for the balance of the year. So, for example, we have a lot of seasonals that we employ. When you see a December like this, of course, you pull back on the number of hours you give them, but you can’t really release them because you don’t know if you’re going to get a blast of winter in February where you’ll need them. So, I think you’ll see more of the impact of expense reduction when you look at the full year than you do in the first quarter.
Lon Greenberg: And as Gene said, we’re not tepid about managing those expenses and you’ll see some benefit from it. But we’re also mindful of our responsibility to our customers to deliver the product should weather show up and we think, again, looking at the medium and longer term in this business the best way to lose a customer is to give him a service problem. And so you’re constantly balancing ensuring that you’ve got the capacity to serve the customers should weather come with the length of the remaining winter and how do you – and your responsibility to manage your business effectively. It’s very, very, very tough in the propane industry to do that right.
Ronald Londe – Wells Fargo: Okay. Thank you.
Operator: Our next question comes from the line of Stephanie Guan with Bank of America.
Stephanie Guan – Bank of America: Hi everyone. I just have one question for Gene. Can you possibly give us a sense of how the results were for Heritage Propane in the December quarter? Would you say it was relatively in line with AmeriGas’ results in terms of the weather impact or from a conservation standpoint?
Eugene Bissell: Oh, Stephanie, thanks for the question. Really, I think you’ll get those results when Energy Transfer has their call because we don’t – those results are not part of our results and when they have their earnings call and their release you’ll see the results for them.
Stephanie Guan – Bank of America: All right.
Eugene Bissell: But, obviously it would have been affected by the weather just like we were, but otherwise no other comments on it.
Stephanie Guan – Bank of America: Okay. And then one more follow-up. So, given the weather impact, I understand what your comments were regarding – earlier comments regarding the weather impact, but do you think you’re still committed to the 5% year-over-year distribution growth rate over the longer term?
Lon Greenberg: I’ll take that because Gene may say something on his way out that he can regret. He is beginning to switch to his investor mode already and that such as a retiree will be once my pension really going out. Yes, now we, Stephanie, as you know, you have been following us, that we treat the UGI dividend and the AmeriGas dividend – distribution increase as commitments to our investors. We know our Board looks at that as a commitment to our investors, they always have. It’s their decision. It’s not our decision, but we don’t make distribution and dividend decisions on one quarter’s results. There are long-term issues for us and as Hugh said we’ve got lots of financial strength in this company, significant amounts of liquidity and unused revolver capacity and we manage our balance sheets in that some call it conservative fashion in order to be able to weather – to use a bad word – weather storms like this and come out the other end strong and able to take advantage of opportunities. So, I’m sure our Boards will be mindful of our results and will be probably as displeased as everybody is or unhappy with them, but I am equally confident that they realize our distribution and dividend decisions across the board are long-term commitments to our owners.
Stephanie Guan – Bank of America: Okay. Thanks, Lon and best of luck, Gene.
Eugene Bissell: Thank you.
Operator: Next in line we have Jay Yannello with Skyden Capital.
James Yannello – Skyden Capital: Good afternoon, Lon. Can you give us a little more flavor on your comments regarding acquisition opportunities in this challenging time, like sort of magnitude what types of deals you are seeing? Because, candidly, as usual with me, it’s the end of January, a lot of the weather period has been passed by now, and you’re still quantifying integration from past acquisitions. So, I think a little hand-holding is necessary, but I don’t know if we might be in a period where we’re still not getting guidance and all of a sudden you’re announcing another big deal. So, can you just give us a little flavor on that? Thanks.
Lon Greenberg: Sure, absolutely, Jay. You know, the temperament of the management team here pretty well. We’re assertive and understand our limitations and at the same time on the other shoulder there’s a conservative group who make sure that we keep our balance sheet strong and are mindful of our human resources also. I mean exactly what I said. There are changes going on, some people, as we saw, are – because they don’t manage as conservatively as we do to keep their financial strength up, have to adjust their priorities because of short term needs. There are other companies who become less enamored with industries because they don’t fit their strategic plans and that’s constantly being evaluated. I would say certainly in our – Hugh identified in our propane business in the U.S. that in the near-term, we’re stretching our human resources with integrating a very large transaction. And so, it would be, let say, out of character for us to do something large in that environment given the uncertainty associated with what we’ve done. Other business units have more strength and are less taxed than our domestic propane businesses. So, we are – the one thing I’ve seen in all my years, Jay, is there is a constant flow of transactions and changes and views and most of the time valuations are such that you can’t do them because they’re not prudent to do. There are occasions when it’s not prudent to do when you look internally as you suggest because you got your hands full of other things you’re doing. So, we’re mindful of both of those and I would tell you that you shouldn’t lose a ton of sleep about it. On the other hand, none of you would want us to turn away a compelling value merely because of a short-term concern provided we were in a position from a human resource standpoint and financial standpoint to absorb it. So, I’m not signaling that there is something imminent in that comment, but I’m signaling to you that it’s – there is always a market like any other year. There are years when we won’t get stuff done and people will ask us you’re accumulating cash why aren’t doing things. And there are times when we’re more stressed as you suggest because we’ve just done something large. So, we try to keep even keel about it. We’re very mindful of the human resources we have available. We’re very mindful of the financial resources we have available, and, if anything, you’ve known us to be conservative and we won’t change our stripes in that regard. But – and so I don’t want you to read into it that something imminent is coming nor do I want you to read into it that we are out of the deal market for two years, so it’s that balance.
James Yannello – Skyden Capital: Okay, all right, fair enough. Just kind of a minor question, I don’t ever remember a winter where the temperatures fluctuate at least in this region up and down so much literally for the past three months, my guess is that has a disproportionate impact on heating demand. Is that a fair statement – as soon as it gets colder, it warm ups and it just keeps going back and forth. So, from your experience, is it true that a period like that creates less overall demand even if it was the same amount of degree days as a period where there is just a hell of a spell of really cold and then a warm spell and then, in other words, a more prolonged period. It’s like every few days it’s going from 30 to 55 and up and down, is that having a disproportionate impact on demand from – at least in the regions where you’re experiencing that?
Lon Greenberg: Yes, I will tell you. One, regional weather is completely different. If you look at the West Coast, for example, weather has not been so bad and demand doesn’t look so bad either.
James Yannello – Skyden Capital: Yes.
Eugene Bissell: Down 2%.
Lon Greenberg: Down 2% in the West Coast where, again where weather is not normal, but it’s not so abnormal as to drive things. In the South East we had an experience in recent years where it warmed up just enough so that people turned off their heaters and on a sunny – I’m always mindful because we have an internal debate about this all the time and unfortunately some of the engineers in the company are no longer with us that can yell at me. But I subscribe to your view that degree days aren’t created equally that I know in my own home, for example, if I get a sunny day that is going from 60 in my house to 30, I don’t have to worry about my heat the way I do if I get five days in the row of 30 where all of a sudden it doesn’t matter how sunny it is, it’s not there. So, that volatility has hurt, regional differences have hurt, and, again, in the Southeast in places where you’re right on that cusp, sometimes the heater kicks in and sometimes it doesn’t kick in at all because you are on the cusp of the area. So, I know the engineers are probably saying and I’m speaking – a little bit of knowledge is dangerous and I’m not speaking of what I know, but I can tell this the School of Hard Knocks agrees with you that certainly the volatility in weather has also contributed to what’s happening out there. It’s just an unusual period. John?
John Walsh: Yes, the other comment I’d make is on the natural gas side of the house particularly for the Midstream & Marketing business. When you see periods of sustained cold or intense cold, it creates some of the volatility that in terms of market conditions that presents opportunities for that business. So, in that sense, sustained cold will create opportunities that more dispersed level of cold over longer period of warm.
Lon Greenberg: Yes, again, we – all of us in this management hate giving you reasons for bad performance. It’s not an excuse. It is what it is, it’s the weather, it’s not like where a patent expired on one of our key revenue producer, it’s not like we have a product that’s become obsolete because another product has been invented. We’ve got a little bit of electricity generation. These are the days I thank my lucky stars we’re not a big electric producer, because gas prices are down and certainly for the near foreseeable future you’re going to have low gas prices and low electricity prices. So, if I’m an unregulated electric producer, I’m probably not happy, that’s a fundamental change. None of that applies to us. This is -we can see as far as the National Service Weather map and they’re more wrong than they’re right because it’s an art not a science and the fundamentals of the company are strong and we just hate having to sit here and spend a good part of the time talking about weather.
James Yannello – Skyden Capital: Okay. Thank you.
Lon Greenberg: Yes.
Operator: Our next question comes from the line of Mark Barnett with Morningstar.
Mark Barnett – Morningstar Research: Hi, guys. I know this call has gone on a little bit long, well just one more quick question about adding volumes through acquisition. Just first if you have may be ballpark number of volumes that you expect from smaller deals you’ve already made? And then just again on the sort of environment, are economic pressures – obviously, your competitors and smaller competitors have been feeling the same kind of pain, have the multiples comes down or are they are still kind of in the same five, seven times region, I mean I don’t know if you have comment on that?
John Walsh: Sure, well. The deals that we’ve done I would say volume would be in the range of 2 million to 3 million not a huge amount of volume relatively small deals. Sometimes those are the best deals because typically you are buying business that blends right in with one of your existing operations and you’re not going to have as much competition for those kinds of deals. In terms of the multiples there hasn’t been a change. I think all of the buyers and sellers tend to value the business based on the longer term trend not just based on what we’re seeing in any particular quarter. So, we still see the multiples in the range of five to seven as we have in the past.
Lon Greenberg: The more likely result that we’ve seen in the past from a situation like this is – I’ll go back to Ron Londe’s question a little bit, which is people in the small companies are no different than the large companies. Everybody likes to make money. And sometimes you count on the money coming in through volume and sometimes you have to count on it coming in through margin. And so, historically, what’s happened when volumes hasn’t show up is people get a little bit more aggressive in pricing to try to create financial results for themselves, the mom and pops I’m talking about, so they can pay their bills and they can discharge their own obligations that they have. So, historically, if I had to point you to a trend it’s usually a trend which would suggest that there would be less pressure on margins as people try to make up for the volume shortfall. But that’s historical I can’t predict the future on that.
Mark Barnett – Morningstar Research: Okay. Thanks for your comments.
Operator: Next on line we have a question from Carl Kirst with Bank of Montreal.
Carl Kirst – Bank of Montreal: Hey, sorry, just a quick follow up because on the Auburn 2, did I catch that you guys said that that is now basically moving to execution so that that project been green lighted?
John Walsh: The project is moving forward we’re in land acquisition phase and permitting phase and have a substantial portion of the capacity already committed.
Carl Kirst – Bank of Montreal: Is it – so my question on that was I didn’t know is there sort of a way to ballpark kind of minimum economics on that project with just what we have contracted today?
John Walsh: At a very basic we tend to look at low 10%, 11% IRR – you can intuit at a 50/50 debt to equity ROE from that, but it’s a – that’s a basic guide on investment, but too early to – for us to be definitive.
Lon Greenberg: And that will be a mid to late 2013 event, John?
John Walsh: Yes.
Lon Greenberg: Mid to late 2013 event, Carl and...
John Walsh: We’re talking about 2014 impact.
Carl Kirst – Bank of Montreal: Sure, sure. And then, one other question, if I could, just with respect to in the Midstream & Marketing, natural gas marketing not a surprise, it has some pressure given weather and prices. Can you actually – can you tell us what the delta of that was or what the actual margin contribution was from natural gas marketing, just trying to kind of get a sense of – from magnitude just what the swing was?
Lon Greenberg: I don’t think we have that. I would tell you, Carl, it’s in the – I’m doing this from memories, but it’s not in the tens of millions of dollars, it’s in the millions of dollars kind of range on it.
John Walsh: Right.
Lon Greenberg: And I’m just remembering operating reports and things. So, it’s there and there are several factors in that business, which militate against volume declines because remember our model largely not a 100%, but our model largely is customers have take-or-pay obligations and they don’t commit for all of their gas, they commit for a substantial portion and if they don’t use that substantial portion, we liquidate the gas on their behalf in the market place, we are not financially exposed. So, we have a built-in mechanism to deal with that, but...
John Walsh: And it’s basically volume not margin that’s driving that delta. I mean it’s reflecting the warmer weather and reduced demand from customers. Unit margins have always been strong in that business and have held up. So, we’re not seeing a unit margin issue, we’re seeing a demand issue as that customer base is focused in the mid-Atlantic region, up north and south from the State of Pennsylvania across eight states and the weather has been poor. So, demand has been weak, but margins have held up well.
Carl Kirst – Bank of Montreal: Great, now I appreciate all the color. Thank you.
Operator: Our next question comes from John Hansell with Presidus.
John Hansell – Presidus: Good evening. Just a quick item on – I didn’t see much on the generating units just if there is any particular update you might have on the new one in the coal plant in terms of how things are going?
John Walsh: Yes, we brought the Hunlock – Hunlock has the two turbines – it’s a combined cycle plant. So, the one turbine came up late last year and was running this quarter and the second unit in terms of bringing that plant up to full capacity will come on in the late spring, so that’s proceeding. There is significant amount of repair work underway to modules within that second unit. But that work is underway and we expect to be in place for the summer season, which will be helpful.
John Hansell – Presidus: Thanks and what about the coal unit, how are things going there in terms of some of the things that we’ve seen in the...
John Walsh: In Conemaugh, well Conemaugh is – our ownership in Conemaugh and that unit is kind of reflecting what’s going on in the market, in general. That was offline for a couple of months and – a couple of weeks in December, no surprise really in terms of operations, it’s just exposed to some of the extreme downward movements in terms of power pricing.
Lon Greenberg: As I said we’re not a power – we’ve got, obviously, some generation and it rounds out our portfolio and it gives us a lot of information that helps our other businesses as well, but this is a tough time to be an electric producer. With natural gas pricing coming down you are seeing efficient coal plants and PJM cycling as much as they’ve ever cycled before. In periods of low demand, you don’t have the weather. So, the demand is low and as a result of that you are seeing some of the bigger coal plants cycling and pricing is tight, it’s all based on natural gas pricing. And so it’s a tough time to be electric generator. Again, fortunately for us, it’s a nice part of what we have, but it is not a material element either up or down for us typically year-over-year.
John Hansell – Presidus: Okay, thanks very much. Just one more in terms of CapEx, I know you’re finishing up a couple of things there as well, are we pretty well set on permanent financing now, I know you mentioned you know all the liquidity and all the debt and all those kinds of things, are we pretty well set?
Lon Greenberg: Yes, we are.
John Hansell – Presidus: Okay, good, thanks.
Lon Greenberg: Yes.
Operator: And next in line we’ve Steven Karpel of Credit Suisse.
Steven Karpel – Credit Suisse: Good evening, guys.
Lon Greenberg: Hi, Steve.
Steven Karpel – Credit Suisse: You made somewhat qualitative comments or maybe I’ll push a little bit more on this, if you looked, you talked about some users don’t use heater at all when the weather is like this. If you look into the quarter now and as we move into the second portion of the heating season, some users say, well don’t fill me up basically because I am now so close to the end of the season, it’s been warm. So, if you think about degree days, have degree days become less of a predicator in the second quarter now of the heating season here?
Lon Greenberg: As we approach the end of February early March that would be the case, but, again, what happens in an environment like this as you may know, we had something like, in our AmeriGas business, about 18% fewer deliveries...
Eugene Bissell: Yes, right.
Lon Greenberg: ...than we had the prior year, for example. And so – in the old days what you would see is you would see everybody – your delivery has not dropped so much and everybody would just take smaller deliveries, but we’re seeing truly 18% fewer deliveries in December. As a result, I would guess that stock in tank is lower than it might otherwise be because they haven’t taken their deliveries, they haven’t received their deliveries. And so even we might get, strangely enough, we might get a pop in volumes should any cold weather come, because they won’t have the opportunity to defer that they would normally have if you had a normal delivery cycle. That’s speculation on my part, but your point’s well taken, if you see February sort of easing in and a March, early March forecast that suggests warmth then people will be calling us not in great numbers but enough people call you and tell you please don’t deliver, I’ll defer it until next year.
Steven Karpel – Credit Suisse: In this time of the year, what’s the typical lead, may be lead time is the appropriate term because I suppose it becomes a little – maybe it’s stretched or condensed versus maybe other times of the year. So, my sense – I guess I’m trying to understand if your – what is your viewpoint on the next few weeks? I would think you have some semblance of an idea just, does it look better or worse than you would otherwise expect year over year or some idea like that?
Lon Greenberg: Yes, it’s hard to predict from week to week. I would tell you that our collective experience has been if it turns cold, it takes a week for the volume to somehow hit us because of the way the systems work. You’re basing consumption on a model, which predicts consumption per unit. So, it’s all degree day based than usage based. So, typically cold hits takes a week before you see the volume and then the volume will continue a little bit past the cold as well. And so certainly the weather forecast I saw for the next six to 10 days is not, my favorite color is blue and not because my eyes are blue, but because that means cold and I see more red than blue and red is warm than cold. But, again, these things change. The weather forecasts are erratic at best in their ability to predict what really happens. So, hang in there with us. We’re in the same boat you are in trying to predict what will happen volume wise, but I think in terms of efficiencies of how we run the business, 18% fewer deliveries in December than we had the prior year.
Steven Karpel – Credit Suisse: And you mentioned about M&A. I know it’s only one season, but, obviously, if you’re struggling with the warmth or may be not struggling is the right word, but it seeing the impact of the weather, certainly some of smaller operators are as well, how does that impact the M&A market and especially given the price of propane I don’t want to call it a working capital issue, but how does this impact some of your M&A activity in terms of your ability to go out and (inaudible) some of the smaller players?
John Walsh: You know, typically in the times when this has happened in the past it hasn’t had as much impact as you’d expect. Most of these guys don’t have a lot of debt. They’ve been in business for a while, but the ones that you really want, the established ones, and it doesn’t really change the – their desire to sell the business. In fact sometimes if you have a really bad year then they want to wait till they have a good year sell on, but I don’t expect this to significantly increase the number of people who want to sell their business.
Lon Greenberg: Yes. A number of our competitors don’t have – who are in the acquisition market side competitors – don’t have the financial strength that we do and sometimes it affects their appetite to do transactions because they are a little bit more stressed than we are. But we’re mindful of the fact that we may not be stressed from a capital resource standpoint, but we’re certainly occupied from a human resource standpoint, so we’re going to be very selective and prudent in doing stuff.
Steven Karpel – Credit Suisse: And then two last ones and really separate for the last. I know you were a bit hesitant to provide guidance today, but when is your – I didn’t hear if you said when you would update your guidance and I know you’ve done later in the season, historically, so when does that been historically. And then separately, I didn’t quite hear that the revolver numbers are debt numbers that you’d have given, so if you could just repeat those?
Lon Greenberg: Okay, I will do the first half and let Hugh do the second. We’ll do it on the April call after the March quarter, we’ll update, and we are going to be working, as I said, in response to a number of comments we’ve had over time to try to delineate more clearly the earnings of our – what we call our base business before the internal capital projects and before the acquisitions and then do a better job than we’ve done, although we’ve tried to layer in the earnings opportunity, the incremental earnings that come from all the investments we’ve made both internally and by acquisition and create a roadmap for folks to better understand. And we’ll do that as well, hopefully, over the next three to six months. But, certainly, guidance will be updated at the April call at the latest when we announce our second quarter earnings. And then, Hugh, on numbers...
Hugh Gallagher: And, Steve, I’m just going to focus on the AmeriGas revolver. At December 31, they had $226 million drawn on the revolver and $59 million of cash. The following business day we paid down $47 million, so kind of a normal what you would expect would be $179 million and $12 million of cash.
Steven Karpel – Credit Suisse: And directionally is that similar to – I know it’s only through...?
Hugh Gallagher: That would be similar to last, that would be similar to last year.
Steven Karpel – Credit Suisse: Is it similar to where we are today, no (inaudible) changes today?
Hugh Gallagher: It’s probably lower than that today.
Steven Karpel – Credit Suisse: Okay. Perfect, great. Thank you, gentlemen.
Lon Greenberg: Sure.
Operator: And that’s all the time we have for questions today. I’d like to turn over to our speakers for any closing remarks.
Lon Greenberg: Okay, again, you could tell two things from this call. We have a great deal of comfort with our future, our earnings capacity in a normal environment, the things we’re doing, our ability to execute. But you could also tell we have a great deal of discomfort trying to explain why we didn’t meet our commitment to you. And that’s not something we’ve had a lot to practice at, but we’ll and I won’t tell you that we’re going to try to get better at it. We’re going to try to get better at making sure under most circumstances we can do what we can to keep our commitments to you. I also want to note Gene, as he said, is leaving. Gene’s had a tremendous impact on this organization as our CEO of AmeriGas and, more broadly, as one of the leaders of UGI and he’ll be surely missed as he goes out and many of us are jealous of his doing all the exciting things he is going to do in the future. So, I want to thank him for everybody, all the employees of this company thank Gene for his service as well.
Eugene Bissell: Thank you, Lon.
Lon Greenberg: So, that’s it from us and we look forward to going into February with blue on the screen and cold weather. But the one thing you can count on us, we’ll keep executing our projects, we’ll keep doing the right things for the company, for the long-term and that you can count on us to produce value for you in the long run. So, thank you very much for listening for as long as you have and we’ll talk to you soon.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes the program. You may all disconnect. Have another great day.